Operator: [Operator Instructions] Today's conference is being recorded, April 25, 2013. I would now like turn the conference over to Fiona McKone, Vice President of Finance and IR. Please go ahead.
Fiona McKone: Thank you. Good morning, everyone, and thank you, all, for joining us as we review our first quarter 2013 results. With me on the call this morning are Ben Moreland, Crown Castle's Chief Executive Officer; and Jay Brown, Crown Castle's Chief Financial Officer. To aid the discussion, we have posted supplemental materials in the Investors Section of our website at crowncastle.com, which we will discuss throughout the call this morning. This conference call will contain forward-looking statements and information based on management's current expectations. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurances that such expectations will prove to have been correct. Such forward-looking statements are subject to certain risks, uncertainties and assumptions. Information about the potential factors that could affect the company's financial results is available in the press release and in the Risk Factors sections of the company's filings with the SEC. Should one or more of these or other risks or uncertainties materialize, or should underlying assumptions prove incorrect, actual results may vary significantly from those expected. Our statements are made as of today, April 25, 2013, and we assume no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. In addition, today's call includes discussions of certain non-GAAP financial measures, including adjusted EBITDA, funds from operations, funds from operations per share, adjusted funds from operations and adjusted funds from operations per share. Tables reconciling such non-GAAP financial measures are available under the Investors section of the company's website at crowncastle.com. With that, I'll turn the call over to Jay.
Jay A. Brown: Thanks, Fiona, and good morning, everyone. As you've seen from our press release and as outlined on Slide 3, we had an excellent first quarter, exceeding the high end of our previously issued guidance for site rental revenue, site rental gross margin, adjusted EBITDA and AFFO. We continue to make good progress integrating the T-Mobile towers and expect to be substantially complete within the next few months. The strong year-to-date results from our site rental revenue business, together with the significant contribution from network services, in addition to a meaningful increase in applications to go on our sites, allow us to increase our 2013 outlook for site rental revenue, adjusted EBITDA and AFFO. Turning to Slide 4, I'd like to highlight a few things from our first quarter results. During the first quarter, we generated site rental revenue of $615 million, up 24% or $118 million from the first quarter of 2012. Site rental and gross margin, defined as site rental revenues, less the cost of operations, was $438 million, up 17% from the first quarter of 2012. Our services business performed very well, posting another record quarter, with the contribution from services gross margin increasing twofold year-over-year, from $23 million in the first quarter of 2012 to $47 million in the first quarter of 2013. Adjusted EBITDA for the first quarter of 2013 was $441 million, up 22% from the first quarter of 2012. AFFO was $291 million, up 47% from the first quarter of 2012, and $1 per share, up 45% from the first quarter of 2012. The significant outperformance in the first quarter AFFO compared to our outlook, issued in January 2013, was primarily due to the outperformance in adjusted EBITDA that I mentioned, and approximately $8 million in contributions related to the construction of conduits, the whole customer-owned fiber to our towers. These contributions are accounted for as deferred site rental revenues and recognized over the estimated period the contributions are earned, which is currently about 8 years. Turning to Slide 5, during the first quarter, we spent $116 million on capital expenditures. These capital expenditures included $16 million in our land lease purchase program. Since we began this important effort, we have completed over 13,000 individual land transactions. As of today, we own or control for more than 20 years, the land beneath towers representing approximately 75% of our gross margin. We continue to enjoy significant success with this program, as evidenced by the fact that today, 37% of our site rental gross margin is generated from towers on land that we own, up from less than 15% in January of 2007. Further, the average term remaining on our ground leases is approximately 32 years. Of the remaining capital expenditures, we spent $7 million on sustaining capital expenditures, $94 million on revenue-generating capital expenditures, the latter consisting of $58 million on existing sites and $36 million on the construction of new sites. Additionally, we spent $13 million on acquisitions during the first quarter. Also during the first quarter, we purchased approximately 300,000 of our common shares for $24 million. Since 2003, we have spent $2.8 billion to purchase approximately 101 million of our common shares and potential shares, equal to 1/3 of the company's shares. All of this done at an average price of $27 per share. During the first quarter, we chose to limit our discretionary investments, as we're assessing several potential acquisitions. While we have no assurances that we will be successful in any of these processes, the total value of these potential acquisitions would represent less than 3% of our total assets as of the end of this last quarter. Consistent with our past practice, we evaluate these potential acquisitions on their expected long-term contribution to AFFO per share, compared to the purchase of our own common shares. With regards our debt outstanding, we ended the first quarter of 2013 with total debt to last quarter annualized adjusted EBITDA of 6.1x and adjusted EBITDA to cash interest expense of 3.5x. In April, just a few weeks ago, we refinanced our existing $1.58 billion Term Loan B and effectively lower the rate on the loan by 75 basis points, saving approximately of $12 million in annual interest expense. Currently, the average coupon on our total debt outstanding is 4.5%, with an average maturity of 6.5 years. Turning to our 2013 outlook, as shown on Slide 6, we expect site rental revenue of between $612 million and $617 million and adjusted EBITDA of between $426 million and $431 million for the second quarter of 2013. The sequential change in adjusted EBITDA from Q1 to Q2 in this year is impacted by approximately $4 million of nonrecurring items and site rental revenue that benefited the first quarter of 2013, and are not expected to recur in the second quarter. Approximately $3 million increase in repairs and maintenance expected in the second quarter, reflecting the increased level of activity as the weather warms, and a $12 million lower expected contribution from services in the second quarter, compared to the contribution we enjoyed in the first quarter. While we are delighted with the significant contribution from services, we are forecasting a lower contribution for the second quarter and the balance of the year. Over the last couple of years, we've been pleasantly surprised by the contribution from services, but we will continue to take a conservative view on potential levels of this service activity. As we mentioned in the press release, we have seen a significant increase in applications since the beginning of the year, representing a more than twofold increase in the application volume by revenue, compared to the same period last year. This twofold increase in application volume by revenue includes both new and amendment activity. In the first quarter, we saw a similar level of increase in new license applications, with new license activity representing 60% of application volume by revenue. We believe this activity suggests that some of the carriers are in the early stages of infill activity to help ease capacity-related issues. In addition, we are benefiting from amendment activity by the carriers, which is outside the scope of previously announced customer agreements, wherein we presold certain amendment activity. I would also point out that the application volume by revenue on the T-Mobile sites we recently acquired is more than double what we expected when we originally forecasted 2013. As a result of our strong results in the first quarter and the significant increase in application volume from our customers, we have increased our 2013 outlook, which now reflects annual site rental revenue growth of 17% and AFFO per share growth of 27%. This increase in our outlook represents an expected increase in incremental growth in site rental gross margin of approximately 18% compared to our original expectations. Given the expected timing, our increase in expected new leasing activity is most impactful to our site rental run rate as we head into 2014. Turning to Slide 7, in addition to the organic AFFO growth we expect to achieve this year, we would expect to augment this growth through opportunistic investment of cash flow and activities such as share purchases, tower acquisitions, new site construction and land purchases. Our outlook does not include the benefit from these expected investments. For the full year 2013, we expect to generate over $1.1 billion of AFFO, and invest approximately $400 million to $500 million on capital expenditures related to the purchases of land beneath our towers, the addition of tenants our towers and the construction of new sites, leaving approximately $600 million to $700 million to invest in activity related to our core business, including purchases of our own shares and tower acquisitions. Consistent with our past practice, we are focused on investing our cash in activities we believe will maximize long-term AFFO per share. I believe this level of capital investment can add between 3% and 5% to our organic AFFO per share growth rate annually. In summary, we had an excellent first quarter, and I'm excited about the significant increase we're seeing in leasing applications. We're off to a great start in 2013. With that, I'll turn the call over to Ben.
W. Benjamin Moreland: Thanks, Jay, and thanks to all of you for joining us on the call this morning. As Jay just mentioned, we had an excellent first quarter, exceeding our outlook for site rental revenue, site rental gross margin, adjusted EBITDA and AFFO. And we're excited about our business as look to the balance of the year. As you know, there's a significant amount of activity in our industry currently, as all 4 major U.S. wireless carriers are engaged in major network upgrades simultaneously. And we're enjoying a significant ramping of leasing activity, as reflected in our increased 2013 guidance. In fact, over 75% of the 2013 leasing activity, contemplated by our outlook, is already in our application pipeline. As Jay noted, we saw more than a twofold increase in application volume by revenue in the first quarter, compared to the same quarter last year, which we expect will translate into new site rental revenue during the second half of 2013. Of this significant increase in applications in the first quarter 2013, approximately 60% of the activity was from new tenants co-locating on towers they were not previously on. This is a trend we have been anticipating for some time, as some of the carriers are nearing completion of their LTE nationwide build-out. We have been expecting to see in-fill sites, or densification, as a second wave of LTE network deployment, providing us with a longer runway of expected future growth, as the carriers strive to maintain network quality and reliability through cell splitting in the face of exponential growth in mobile technology demand. Given the urban concentration of our sites with 74% in the top 100 markets, where we expect the majority on network densification to occur, we are excited about our prospects as the next wave of leasing materializes. In the first quarter, we also made significant progress on the integration of the T-Mobile towers, which we expect to complete in the next 3 or 4 months. While these integration activities are ongoing, the business opportunity continues to grow, and we are seeing meaningful pent-up demand from carriers to go on these sites. As Jay mentioned, only 4 months post-closing, application volume on the T-Mobile sites is already significantly ahead of what we underwrote. Turning to small cells. We closed on the NextG acquisition just a little over a year ago, and I am very pleased with the performance in the growth of our small cell networks, which have exceeded our initial expectations. In fact, the organic leasing growth on small cells is tracking above our business plan and we're excited to be investing for growth in this area. Our initial expectations upon closing the NextG acquisition were that we would grow adjusted EBITDA 5 to 6x within 5 years, and we are tracking towards that goal. While small cells represents a small percentage of our overall site rental revenue, we expect and are seeing growth from small cells contribute significantly more than its relative size to the organization. This activity is consistent with the continued adoption by the carriers of small cells to create a better and more seamless experience for consumers in areas that are not adequately covered by traditional macro tower infrastructure. Based on what we can see, we anticipate multi-thousand small cell deployments annually for the foreseeable future, and we are working to capture a significant portion of this opportunity. With every passing month, we see more examples of Crown Castle offering carriers integrated solutions in towers and small cells to meet their network requirements. As the industry leader in small cells, we remain excited about our future prospects in this extension of our business. Before I turn the call over to questions, I'd like to make some comments on the trends we are seeing in the U.S. As evidenced by our results and our investment of $4 billion last year in the U.S. market, with the NextG and T-Mobile tower acquisitions, we remain firmly convinced that the U.S. wireless market has significant opportunities as the fastest-growing and most profitable wireless market in the world, and where we are well positioned as the preeminent wireless infrastructure provider in the U.S. According to Cisco's latest forecast, U.S. mobile data traffic grew 62% during 2012 and is expected to grow ninefold from 2012 to 2017, enabled by the faster and more robust LTE networks being deployed. As carriers deploy LTE, it's interesting to note that U.S. 4G connections represent still only 7% of mobile connections today, yet they account for 25% of mobile traffic on the networks. The impact of 4G connections on traffic is significant, because 4G connections generate a disproportionate amount of mobile data traffic. This is the driver behind all 4 major carriers' multiyear plans to enhance the coverage and capacity of their networks. We believe this is illustrative of U.S. wireless consumer behavior and is an important trend for our business. So in closing, to wrap up, and then we'll take some questions, we're the largest wireless infrastructure provider in the U.S. with an urban-centric portfolio where leasing activity and demand for mobile technology is the highest. We remain focused on the U.S. market, the largest and fastest-growing market in the world, where the ability of wireless carriers to make profitable investments is most apparent and barriers to entry remain high. As consistently demonstrated by our results, we believe our well-located tower portfolio and the ability to execute for customers allows us to maximize the opportunity in the U.S. market. Leveraging our experienced management team, customer relationships and services offerings across our unrivaled tower footprint, together with our leadership in small cell networks, positions us to be the provider of choice as carriers continue to enhance their networks to meet ever-increasing wireless demands. We believe providing carriers access to our 30,000 sites, extensive small cells and fiber resources through a shared infrastructure model remains the most efficient means of delivering mobile technology to consumers. We like how we are positioned and look forward with great anticipation to the future. It's a privilege to come on these calls and announce these results. I want to take a quick moment to thank our employees who continue to deliver these excellent results while integrating 2 major acquisitions. Delivering record levels of services revenues and meeting customers' expectations in gaining access to our sites at the heightened level of application volume we are seeing, reflects the talent and dedicated professionals we have at Crown Castle. So in closing, we had an excellent first quarter, and we look forward to the balance of the year. With that, operator, we'd be pleased to take some questions.
Operator: [Operator Instructions] And our first question comes of the line of Philip Cusick from JP Morgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: I guess, first on the fundamentals, can you talk about what kind of visibility you have into the services business? As you said, it's been surprising you to the upside for quite some time. Is this contracted a quarter or a month out, or is it even shorter than that? And what do you expect in terms of sustainability over the next year or so?
Jay A. Brown: Yes, Phil, thanks. Obviously it's been growing and we've been doing more, including increasing the scope of work on each individual application over time. But it is hard to forecast. It's hard to forecast in terms of volume, and then as well as timing, because not all of the timing relates to things that we can control, some of it beyond our control, things like zoning, availability of equipment, lots of other things that actually impact when the timing of the jobs get done and the recognition of revenue. So given that it is lumpy, it has been going up. In relation to the application volume and the activity that we've seen, we have high expectations for it, certainly. And we'd expect that this year, full year, would be substantially greater than last year. But still, $47 million of margin in the quarter is unprecedented by a long shot for us, and so we're going to be a little gentle as we forecast that.
Philip Cusick - JP Morgan Chase & Co, Research Division: Sure. As you think about the guidance there, is that -- services revenue guidance that you give, essentially, known, and then there's extremely likely, or only potential upside from there? Or do you really put in on sort of a -- the potential that, that could miss during the quarter?
Jay A. Brown: Well, we try to basically come out with things, a level that we obviously are pretty sure we can make. I don't want to come out on a call and talk to you about why we didn't make a number. And as we've said, given the activity over the last 12 months, which has been ever increasing, it's been -- we've been beating that number obviously every quarter. But I'm cautious because there may come a time when that number flat lines or even heads back down, and so we just got to be very careful about getting too far out over of our skis on that one. And again, the last thing I would add is, remember, carriers are not compelled to use us. And so while we're very pleased with the activity and we work very hard to secure that business, they don't have to use us. So while it is related to the activity in the market, we certainly can't absolutely control it.
Philip Cusick - JP Morgan Chase & Co, Research Division: Got it. If I may, on just a completely different subject, I think there was an article in, I think it was Barron's this weekend, talking about how a lot companies are moving toward REIT status, and I worry about this. What are your advisors telling you about the situation in DC towards REITs, and is there possibility you might move this ahead a little bit, in order to get yourself in '14, rather than wait until '15?
Jay A. Brown: Yes, sure, Phil. We've already started some of the preliminary work on REIT conversion in terms of considering who our advisors will be and legal counsel and how that would look. We've spent a considerable amount of time internally looking at what we would need to do in order to make that, make the conversion. I would tell you just broadly, and there've been a number of articles written about some of the businesses that are trying to make themselves look at close to real estate as they can, in order to pursue a single taxation-type model. And when you look at the tower business, this is a real estate business and, certainly, when they set up the pass-through entity status and looked at real estate as one of the prime examples that have taken advantage of that, that's what we are. We're a real estate business, and it's not a stretch to figure out how our business relates to that. Broadly, on tax reform, I mean, there may be tax reform over time, and if there is tax reform, then obviously, we'll have to look at what we think is the best approach for the company. But I think some of the concerns about what the IRS may or may not do in terms of including various businesses in -- as REITs, it's hard to imagine how you could define real estate and not include -- and not include towers. So I think we feel pretty comfortable about it. And we've started to work, and you're right to say, we'll burn through our NOL in about 2015, beginning of 2016, and so I think our conversion is in next -- inside of the next 24 to 36 months, and we've already started the early work to get that done.
Operator: Our next question comes of the line of Jonathan Atkin with RBC Capital Markets.
Jonathan Atkin - RBC Capital Markets, LLC, Research Division: So, I've got -- I was interested in the services business and kind of the cost structure, and as revenues go higher or lower, is that primarily a fixed cost basis or the variable costs, were you using contractors? Just wanted to get a little bit more of a flavor for that. And then, it sounds like from their comments, there was a point during 1Q where there was a trigger where you -- that the prepaid amount of activity was sort of exceeded, and from this point forward, a lot of the activity level then gets reflected in incremental site leasing revenues and, am I thinking about that correctly? And are there other MLAs where we might sort of see that trigger later on this year?
W. Benjamin Moreland: Yes, John, I'll take the first one. On the services business, we do have some variable cost structure built into there, and we have added people over the last year, really almost at an unprecedented rate for Crown Castle, given that it's -- we run with lots of assets and few people. We've added a number of folks to handle this work load. We do have some variable cost in there, a number of them are contractors. I think the essence of your question is, if it were to flex down, can some of the cost structure come out? And the answer is absolutely. And so we always keep an eye on what do we think is sort of baseline core services activity, and then what is -- what are we seeing based on all this activity, appreciating that we've added 1/3 to the portfolio, too, so you're going to have a higher increasing rate of activity, just because the portfolio's bigger. But there is a significant amount of variable cost in that business that could flex appropriately.
Jay A. Brown: John, your second question around prepaid activity. As you probably saw from the release, we add an additional footnote to the straight-line revenue disclosure that we've given over the last year plus, when we went through this AFFO metric that the industry has gone to, to show you the one component of that number that has some volatility in it, which is related to prepaid activity. So we've called that, we've called that out. And in periods where there's a significant amount of construction and activity going on, we're going to see more prepaid. I think we've talked about in past quarters, directionally, that straight-line revenue number, in the absence of any construction activity, is headed to about breakeven in the 2016 timeframe. And so, if -- just as a simple example, if you were to say we didn't have any prepaid activity in 2016, we would expect the current drag, that is straight-line revenue, of about $130 million to go to 0. So just growth in absolute cash received from our tenant licenses is going to grow significantly over the next couple of years. So we were trying to spike that out a little bit to show you that the one component of that, that does have some volatility. And I guess I'll make a similar comment to what I made around services that we'll continue to take a pretty conservative view there. And it's a -- a lot of it comes down from timing. I think directionally, we feel great about the year, which you can certainly take from our comments about where application volume is. And then with regard to services and construction activities, we'll have to see how it develops over the course of the year. It's harder for us to predict exactly where those items are going to fall.
Jonathan Atkin - RBC Capital Markets, LLC, Research Division: And then finally, on the applications you talked about, and the kind of the increased levels for new colo applications, does that, then, really start to hit the financials, not until 2014, or could that benefit this year's site leasing performance?
Jay A. Brown: It does reflect somewhat in calendar year 2013. As I mentioned in my comments, we took up our fourth quarter site rental gross margin in terms of incremental growth year-over-year by about 18%. So that's a direct result of that leasing activity and the applications that we're seeing. It is, as you point out though, most impactful to the 2014 run rate. Generally speaking, we have about 4 to 5 months from the date we receive an application until it becomes revenue. So that application activity that we saw in the first quarter really becomes revenue into the third quarter, and gets the -- you get the impact there for the balance of this year, but most impactful as we think about run rates into 2014. And I think we are really encouraged about, broadly, what we see the carriers working on and where that application activity is going as we transition from, what has been the last couple of years, a predominantly an amendment mix, to now seeing a significant number of brand new lease applications where carriers are going -- desiring to go on towers they're not currently co-located on. And that's having a big impact as we think about in the fourth quarter, and where we head into 2014.
Operator: Our next question comes of the line of Rick Prentiss with Raymond James.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: A couple of questions. I want follow-up on Phil's REIT question and as we get ready to go to NAREIT pretty soon. Jay, you mentioned the conversion in 24 to 36 months. Given that tax status is for a calendar year, would you actually maybe consider converting to a REIT in the middle of the year? And how would that kind of logistically work, given the accumulated EMP dividend payment, et cetera?
Jay A. Brown: Yes, I think the first step after we lay out the plan is to pursue the private lateral ruling from the IRS. There have been a number of tower companies and land lease companies that have gone down this path, both public and private companies. So there's a good track record there in terms of how the IRS responds to this, so we feel pretty good about that. But that would be the next step. And then once we've received that private letter ruling, then it just becomes an election for us to convert to a REIT. And those 2 things don't necessarily have to go together, so we could pursue and obtain a private letter ruling and then wait before -- wait to make the REIT conversion decision at a later date. And I think I've broadly discussed here, how we think about capital allocation in that discussion. And given the amount of growth that we're seeing in the business and where we see cash flow per share growing over the next couple of years, we thought it appropriate to maintain the flexibility to use our cash flow, to be able to go out and either buy acquisitions or buy back our own shares. We think we've done that really successfully over a long period of time. And so by waiting on the dividend, until it's the most tax advantageous approach in the business, we think we can deliver outsized returns to the shareholders. But it's something that we're certainly considering, and I wouldn't dismiss the possibility that we don't go a little bit early. And we're just in the early stages of working on it, and would make the decision when appropriate.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: And would it be a decision that would be tied to a January 1 kind of date, like American Tower did for the whole tax year? Or is it something you could do within a tax year and go back? Just trying to think of the, kind of calendar timing.
Jay A. Brown: I think the practical answer is we would probably do it on January 1. There are ways you wouldn't necessarily have to do that, but, in all likelihood, we would think about it as a calendar year decision.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: That makes great sense. And one follow up on the T-Mobile side. You said it was doing twice your forecast, the T-Mobile towers that you've brought in. Is that just that you guys started the underwriting, maybe thinking that they would start slowly? And then also, on the 60% of the applications have new colos as kind of a revenue base, are the T-Mobile ones seeing that too, I would expect?
W. Benjamin Moreland: Yes. Rick, this is Ben. So on the -- look, it's only been 4 months, so we're happy to tell you that we're ahead of plan, but it's 4 months in, and we obviously had a long-term leasing forecast. But we're ahead of plan significantly already with the T-Mobile assets. And yes, I would suggest to you that they're tracking colos as well as amendment activity.
Operator: Our next question comes of the line of Jonathan Schildkraut with Evercore Partners.
Jonathan A. Schildkraut - Evercore Partners Inc., Research Division: Great. I was wondering if you could give us a little bit more color in terms of the activity by carrier? And then, as a second question, you talked about the timeframe from getting an application to seeing that application turn into revenue, and I imagine, that 4 to 5 months for new sites is longer than what you might -- in an amendment process. If that is the case, do you feel like you have more visibility into the forward business today than maybe what you were expecting a quarter or 2 quarters ago?
W. Benjamin Moreland: Jonathan, let me start with the first part, on -- by carrier. We generally resist calling out individual carriers and their deployment plans and what's going on. Obviously we have a pretty good window into that from our seat. But you can certainly take from their comments, the carriers' public disclosure, where they are in terms of their initial LTE deployment. And they're in varying stages of completion, if you will, in the first level of amendment activity through their existing networks. And as we've anticipated for some time, we will see infill, or densification, resulting from either increased small cells in areas where there's -- they're capacity-challenged, where consumers essentially are consuming the LTE capacity that's now available on the macro site. Or, now a redeployment of capital back into adding additional sites that may have been on the list for a long time, but would be prioritized, based upon the need to go ahead and get the original first cut sort of LTE deployment overlay done, and now they've come back and addressed the obvious places that, for some time, they've needed some help, which is handled first and foremost by macro sites and then, obviously, infill in more urban areas by small cells. So we're seeing that -- I would say almost in direct relation to where the carrier is in their LTE deployment. So that's about as far as I'll go with you, but you can sort of walk through, okay, where is everybody in their LTE deployment, and you can assume that's sort of how we're seeing this play out. The 4- to 5-month lag on application to revenue is pretty consistent; that hasn't really changed over time. I mean -- and there's some variables in there that we control, and there's some variables in there that are out of our control, things like, again, availability of equipment, zoning, availability of crews. I mean, there's just a lot of things that have to happen there. Consents from landlords. Just a long list of things that typically on average takes in that 4- to 5-month recognition period. So I'd say that's pretty consistent.
Jay A. Brown: Jonathan, one thing I would say, which we talked about, I think, at some length last quarter, is that we're in an unprecedented time of public -- private carriers, public disclosure around their multiyear plans for CapEx spending. And historically, we've -- given some public comments, generally about the next 9 to 12 months, and what they're going to do in any given year, and you have most of the carriers who've come out with at least 2- to 3-year CapEx plans and what those plans are going to entail, in terms of both small cell deployments, in macro sites and amendment activity. And so I think we have, we probably have about the same amount of visibility on a quarter-by-quarter basis as we've ever had. But the one thing that has changed is the longer-term view that the carriers have taken about their network, and we're just working through that as we go through the near term.
Operator: Our next question comes of the line of Mike McCormick with Nomura Securities.
Michael McCormack - Nomura Securities Co. Ltd., Research Division: Ben, can you just comment on the environment out there. You guys talked a couple of times, I guess, about acquisition opportunities. I think AT&T has been pretty vocal about looking into that. Is there any change in the carrier behavior on that side? And then, secondly, do you guys evaluate looking at the DISH-Sprint combination. What kind of opportunities would that provide for you guys?
W. Benjamin Moreland: Sure. On the acquisition front, as Jay mentioned, there's always things in the pipeline. And there's a couple of, I'd call them medium-sized things that were looking at. I think Jay used to -- about 3% of assets that's about right. We would have effectively fund that out of cash flow. And so that's why we're looking at maybe holding off a little bit until we know the end of -- the outcome on those. But in general, I'd say the industry, if I could editorialize for a minute, has gotten pretty comfortable with third-party ownership of independent towers. And we own, as an industry, a very significant component of the cell sites in the U.S. that are made available on a shared basis. And that model is working very well and is a very cost-effective and efficient way for carriers to occupy their infrastructure. So look, I think that's well established and certainly will continue. With respect to the DISH and Sprint discussions or Softbank or anyone else that you might hear about on radio or TV, seemingly every day, that wants access to wireless networks and ultimately, consumers. It's very heartening for us that when we hear about those discussions and it just describes to us or confirms that the fundamental value that's resident in these wireless networks way above and beyond what's evident today. And so whether you talk about DISH for their obvious business purpose around an augmentation to their satellite TV strategy, whether you talk about Softbank or any other technology company that constantly is looking for access to wireless consumers through devices, the whole mobile technology wave to us is very exciting and suggests a long-term run here on the need, the necessity to access the infrastructure that we own. And again, I keep coming back to this shared model because we think it's a very attractive way to provide infrastructure on a common or a shared basis to these carriers, a very efficient way. And it's not just resident in wireless. I mean, there's a number of other example where that's the case. So we are very excited about the long-term prospects and there's things out there on the horizon that we don't talk about or certainly don't put in our forecast. I would include FirstNet in that discussion. So lots more to come in our expectation.
Operator: Our next question comes from the line of Jason Armstrong with Goldman Sachs.
Jason Armstrong - Goldman Sachs Group Inc., Research Division: A couple of questions. First, Jay, obviously, a very big hike to the AFFO number here. We've got a few of the piece parts but not everything. Can you walk us through maybe a bridge to the AFFO increase? Maybe talk through site rental gross margins, network services gross margins and then maybe changes in customer prepayments, how that all fits together and contributes? And then second question, I guess, maybe just going back to the acquisition landscape. When you talk about deals out there that sort of in total are 3% of assets, with your leverage backed down to 6.1 turns, are you saying these are the assets that are out there and, hence, that's what you're engaged in, or are you saying you still can't engage in bigger deals, if there are out there? Because it seems like with the leverage, where it is, you probably could engage in larger deals.
Jay A. Brown: Sure. On the increase in outlook, we've got about $9 million in the calendar year related to interest savings, which I alluded to in my comments when we repriced our Term Loan B. There's another about $29 million that's related to increases in adjusted EBITDA from where we were previously for the full year. Then we have the benefit that we talked about from fiber in the first quarter, as well as there will likely be some for the balance of the year. And that, basically, bridges the balance of the year in terms of the total increase in AFFO. And, Jason, I think, maybe I would point to just that level of activity in my comments before about construction and where applications go, ultimately, that will be somewhat of a driver as we get into the balance of the year. If it's at an elevated level, we may do a little bit better from those kind of activity, but very difficult for us to predict that at this point. So most of it is really just adjusted EBITDA growth and that's coming from the outperformance in the current quarter, as well as our raise in terms of expectations for site rental revenue, that's the driver there for the growth in adjusted EBITDA, the interest savings and then, really, what we already achieved in the first quarter makes up the bulk of it. On your second question around leverage at 6.1x, really, my comment, for what I was alluding to, was, if you look at capital spending or share -- and share purchases and acquisitions, we didn't send all the cash flow that we earned during the first quarter, which has, I guess, normally been our practice to invest most of it during the quarter. That 3% represents specific assets -- less than 3% of our total assets. Those represents specific acquisitions that we're in the process of looking at currently. No promises that will be successful on those, but it's been said we think we can fund those out of cash flow. And so we were, in essence, holding on to cash and not making investments, waiting for the outcome on those. I think, broadly, to the extent that something larger than what is relatively small acquisitions would have come about, then that would be a different discussion and we'd have to look at those assets. This is -- my comments are related to specifically to some specific assets that we were looking at and why we didn't invest all the cash flow that we earned in the quarter.
Jason Armstrong - Goldman Sachs Group Inc., Research Division: Okay. Great. If I could follow-up on one other thing that's come up during the call, you talked about maybe an ability to pull forward going after a private letter ruling. Is there -- I guess, I'm just not familiar with what sort of expiration or renewal would be required. How far in advance of actually converting could you actually achieve that and then wait to convert and have that sort of designation still hold?
Jay A. Brown: It would be good for a couple of years. We wouldn't -- that private letter ruling doesn't really doesn't really expire.
Operator: Our next question comes from the line of David Barden with Bank of America.
David W. Barden - BofA Merrill Lynch, Research Division: So I guess, there's been a lot of hand wringing over the last quarter, and I think we addressed a couple of the reasons. One was concerns that maybe towers were going x growth, and I think you guys addressed that with some of the applications demand you're talking about. Another reason was some of the M&A anxiety about 4 to 3 combinations, and I think that is working itself out. I would say, maybe, the one last thing that has come up again and again has been subsequent to AT&T's announcement that it was going to do 2 things to expand its network. One, was to expand their macro cell sites, accelerating it by about 50%, but also introducing 40,000 new small cells. There's been anxiety about how small cells might be a substitute for the macro cell sites or how, as we densify the markets, which is going to be in more of the urban areas where towers aren't, is the opportunity going to skew away from where the towers are? Probably nobody knows more about that than you guys, other than AT&T. Could you kind of map us or walk us through, maybe, Ben, kind of how the architecture works and whether it's complementary and whether we should be worried about the ultimate substitution nature of that business?
Jay A. Brown: David, that's a great question. And obviously, we believe and our experiencing the fact that it's complementary, and it's really all of the above. We know from our drive testing precisely which sites, existing macro sites, could solve existing needs in the marketplace. And as I've said a few minutes ago, one of the things that's been -- we've seen, clearly, and it makes perfect sense a little bit in hindsight, is the carriers' capital and focus has been on amending existing sites, for obvious reasons, multi thousands of them. And as we've disclosed, I think last year we had 23,000 individual applications inside the company. I mean, that's just a mind-boggling number. Those are amendments, primarily, on the first pass of LTE. That doesn't -- we're not suggesting that they don't need any other macro sites, it's just that's the first thing that happened. Now, as you're seeing, the next thing that's happening is they're going back and starting to address the obvious sites that would have satisfied additional coverage or capacity requirements, with LTE being part of that installation as sort of the second way. And we believe that will continue. And we see that happening in macro sites. We think -- are certainly the most efficient way to cover the capacity challenges and coverage challenges that remain out there today, and that will continue. But that's not sufficient. There's a lot of places, as you point out in your question, where small cells can augment in a very small geographic area, the capacity that may not be available from the macro site or even the rooftop site. And so while -- if you're standing there in that location, you might actually have 1 or 2 bars of coverage on your phone from the macro site, it's not enough to do the mobile technology or the mobile broadband services that the carriers want to provide and that were willing to pay for, apparently, because that's what's happening. And so that's why you see the carriers talking about multi-thousand small cells being added as augmentation to add capacity and effectively reuse the spectrum in a micro cell on those, if you will, and multiply the capacity that's available to the consumer in those in urban areas. But it's really both. And I think what's driving this -- what we paid close attention to is the ability for the carriers to continue to make capital investments to add data capacity and densification, and drive incremental EBITDA and margin through their wireless businesses. And from what we can tell, that's very evident and that's there today. And so that's why we -- one of the primary reasons we were so excited about what we see in the U.S. We, as consumers, are prepared to and expect to pay for data services, and we are doing that. And there's a lot more devices coming and applications coming. And as I mentioned earlier, technology companies that want access to wireless consumers, that I suspect we're all going to be paying for more services in the future and getting more out of it. But that's basically how it's working. It's both.
David W. Barden - BofA Merrill Lynch, Research Division: Perfect. And then just -- if I could, one last one. With respect to the different potential combinations out there, sorry to put you on the spot, but if you could come up with the dream scenario for towers, for Crown Castle in particular, among the publicly announced transactions that are going out there today. What would you be rooting for, what would you be rooting against?
W. Benjamin Moreland: I don't think I'm going to touch that one. We like where we are. We like where we are and what we have. And the carriers, obviously, have their own business plans and they're working hard to do it. What we're focused on is making sure that we're the most efficient and cost-effective means for them to deploy their network to consumers, and that's what we are.
Operator: Our next question comes on the line of Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley, Research Division: I wonder if you could talk about a couple of other revenue sources, microwave dishes, anything on generators in the post-Sandy world, you've seen increased demand there. And coming back to this 60% coming from new colos, do you think we've now flipped permanently that we've gone from an amendment dominated to a new colo dominated, or is that going to fluctuate around? And I think that was something that a lot of people thought would be more of a 2014 effect, so thoughts on that?
W. Benjamin Moreland: Sure. Simon, we are seeing some microwaves on sites, and that's contributing to the revenue growth we're seeing. And then in terms of predicting the mix of colos, I think, to a degree, is a function of sort of where we are in the deployment plans or progress with the various carriers on their LTE amendment. As we've noted, and we got out in front of some this pretty early with carriers on our sites, and so we've sort of come through the crest, if you will, on LTE amendment activity. And so I think the natural then is to come back to the colos. How we would predict that it continues, I mean, we can again, we can see where there are obvious needs. It's challenging to predict exactly how they prioritize their capital. Obviously, 4 months into the year now, we're very pleased with what we've seen. I would point out, though, that in the guidance, we were a little conservative. We didn't necessarily forecast that this level of activity continue the entire year. So we obviously had great results in the first quarter and we expect that, that will pick up, that will generate revenue, as Jay mentioned, in the third and fourth quarter, but we're still -- we're going to take this quarter at a time and see how it goes.
Simon Flannery - Morgan Stanley, Research Division: Anything on generators?
W. Benjamin Moreland: A little bit. That's is a difficult one. There is still a capital allocation discussion there that happens within each carrier. We do have, obviously, generator space. We've done share generator models in the past for carriers. It really comes down to a capital prioritization within the carrier. But we have, certainly, availability of ground space and the willingness to own and share generators, when that becomes the preferred approach. I mean, there's a lot of things going on between battery backup power, elevated platforms, mobile generators. And so we'll -- I think there's, obviously, been appropriate attention on the issue and we stand ready to help where we can.
Operator: Our next question comes of the line of Batya Levi with UBS.
Batya Levi - UBS Investment Bank, Research Division: I think in your guidance that you had provided in the beginning of the year, you had not included any Clearwire revenues in it. Given the new guidance, do we -- have you included Clearwire in it now? And also wanted to just clarify the lag periods that you've mentioned, the application to recognition of revenues, so 4 to 5 months. When Sprint talks that they're going to deploy LTE on 800 in the fourth quarter, would they be starting that process today or could that potentially provide upside throughout the year?
W. Benjamin Moreland: Sure. In your first question, with regards to Clearwire, we did not put them in the original outlook in terms of expectations for additional leasing from them, and we've not included any in this current outlook, so no change there. On the timing, generally speaking, if a carrier is indicating that a site is going to be on air on a specific date or inside a specific quarter, the application would need to come to us 4 to 5 months ahead of that date in order to get them on air on their targeted date.
Batya Levi - UBS Investment Bank, Research Division: Okay. And maybe just one more. How should we think about the new construction CapEx this year? And how many new towers do you expect to build? I think the new tower count this quarter was a bit lower than we expected. Do you expect that to ramp up throughout the year?
W. Benjamin Moreland: Most of the new construction CapEx that we're spending is related to small cell network deployment, and so I don't think you'll see us build a whole lot of towers this calendar year. Most of that will be related to spending on the small cell side, which we continue to find opportunities for. If I had to guess where we'll end up at the end of the year, it would probably somewhere in the neighborhood of about $150 million on new sites. As we've talked about, though, it's a bit of a soft outlook or soft guidance, because at the returns we're able to achieve in these building of new sites, whether that's small cells or towers, we'll do all that we can find. And so that $150 million is really our best estimate of where the opportunities are currently. And if more opportunities show up, we'd happily invest at a higher level than that.
Operator: Our next question comes of the line of Kevin Smithen with Macquarie.
Kevin Smithen - Macquarie Research: What is the current AFFO contribution from DAS, if it is positive? And when will this begin to have a significant impact in AFFO growth as you complete some of the initial CapEx?
W. Benjamin Moreland: Sure. It is contributing, it is positive to AFFO. We don't segment reports our small cell business, it's right inside of our tower business. So we try to get some color on some of the trend lines given the amount of capital investment we made last year and ongoing, but I'm not going to get into specifically how much it's contributing. On a growth basis, it's making a meaningful difference. As Ben talked about, disproportionate to its size, we're seeing a significant amount of activity and leasing associated with that business. So it's positively impacting AFFO and the flow through down through EBITDA.
Kevin Smithen - Macquarie Research: Have you seen any increases in tenancy on DAS? What is your average tenants per DAS site and what was that a year ago?
W. Benjamin Moreland: Well, when you look at the average tenancy, it's a mixed bag. Because what's happening, given the number of new networks we're building, where we'll have a single tenant or maybe 2 tenants on day 1, it will bring down the overall average tenants per DAS network. As we look at the older systems that are on there, the vintage is exactly what we would expect. And as we compare that vintage to the legacy of towers, we're adding the second and third and fourth tenant at a rate faster than what we've historically been able to do with towers. And so if you were to track it on a system-by-system basis, you'd see a rate of growth on additional tenancy that looks better than what we've seen over the last 15 years in towers.
Kevin Smithen - Macquarie Research: And that's about 0.125 per year or 1/10 over 8 years on the macro site?
W. Benjamin Moreland: Yes. Yes, that would be about right on the macro site, and it's tracking higher on that on DAS.
Operator: Our next question comes of the line of Michael Rollins, Citi Investment Research.
Michael Rollins - Citigroup Inc, Research Division: Could you just clarify what the internal same tower growth rate was for the quarter? And do you have handy the prepaid rent number for the fourth quarter of 2012? I noticed you gave 1Q '13, 1Q '11 -- sorry, 1Q '12. Do you have that 4Q just to compare sequentially, that would be helpful?
W. Benjamin Moreland: Yes. On the same tower sales, basically, that number is in the ballpark of about $150 million of cash and a little over half of that would be the cash escalators, and then organic growth would be the rest of that, Mike. And that would be separating out the significant ones that would be affecting that would be related to the T-Mobile acquisition that we did. If we go back and look at where the net prepaid -- the net straight-line impact was in the fourth quarter versus the first quarter, it's pretty similar. It moves about $3 million from the fourth quarter of 2012 in our favor in terms of higher cash, $2 million to $3 million from Q4 into Q1.
Michael Rollins - Citigroup Inc, Research Division: And so as you look at this, then, does that imply that straight-line would have actually been higher in 1Q, so some of the sequential revenue growth may have been held by straight-line? I'm just trying to get a sense of actual growth rates of the internal tower performance and just trying to understand the different impacts that fiber prepaid rents are now having on the financials?
W. Benjamin Moreland: Well, if you separated the activity that drive prepaid, as I was mentioning, the construction activity and we spoke specifically about the fiber activity. If you were to strip that out, Mike, completely, that number, the total number today, is the drag on cash of about $135 million. And that includes the benefit we're getting currently because of the construction activity. If you were to take that number and forecast it out to 2016 and say that there was no benefit to the company from construction activity, so this would be a theoretical environment where there's no leasing activity and no construction activity going on, that drag goes from a drag to basically breakeven in 2016. And the trend line between today and then is a relatively straight line. And so as the construction activity happens, depending on the level of activity there, it's going to make that number get closer to breakeven in some period of time shorter than what it otherwise would if there no amount of construction activity. So I think underlying this, and maybe this is helpful just to back up a step, from a cash standpoint, looking at the $2.2 billion of cash revenue that we have, the average escalator there is just a hair under 4%. And so there's about $80 million a year of cash growth just coming from existing base of business. And that's going to happen on a relatively straight-line basis from now through the average term of the leases remaining, which is about 9 years, 8 to 9 years remaining. And so we'll see that cash growth flow through and that will drive down that straight-line revenue number.
Operator: Our next question comes from the line of Michael Bowen with Pacific Crest.
Michael G. Bowen - Pacific Crest Securities, Inc., Research Division: A question for you with regard to what you're seeing in trends for the 4G LTE builds in 2013 versus 2014. We had heard that there might be a little bit of a push out from '13 into '14, not a decrease, but a push out that seems to be maybe going against what I'm hearing from you guys. But I'd like to hear your color on that.
W. Benjamin Moreland: Yes. No, I wouldn't agree with that. We're not seeing a push out. We're seeing a lot of work happen, again, that we are -- we've been on this amendment work for the last 2 years in a very big way. And so I would venture to guess, speculate with you that in 2013, we'll do less LTE amendments than we did last year, only because we're sort of getting through the halfway point of our overall portfolio and more, as we've talked about several times, significantly more co-location than we did last year. So as it relates to Crown's portfolio, obviously the only one we could speak to, I'd say we're probably pass the halfway point in aggregate between all 4 carriers combined. I'd say we're probably, this is unscientific, but we're probably right about halfway. And it's certainly not slowing down.
Michael G. Bowen - Pacific Crest Securities, Inc., Research Division: Okay. And then one follow-up on the small cells. If there's a small cell deployment that's not on one of your towers or not on one of your sites, is there any way that at carrier can go in and negotiate a building right themselves or would they still be doing it through you?
W. Benjamin Moreland: Well, let's sort of go back through that. Obviously, if the tower is our tower, we'll negotiate with ourselves. If it's a small cell, we'll have fiber in an area. So if it's a -- let's just take an outdoor situation where we have fiber, there's nothing technically precluding them from laying their own fiber, but that would be very cost inefficient relative to ourselves. We already have a shared model there and so the neutral host model, just as in the towers, is alive and well and working in our favor and making it more efficient for the carrier to operate on a small cell they would add to an existing network. And with respect to a building, the general rule is, on a building, we have an exclusive right. If we're in a public venue or stadium or basketball arena or something like that, then it's an exclusive right in partnership with the building owner or the municipality, where we're on a, typically, a revenue share basis and they have to work through Crown.
Michael G. Bowen - Pacific Crest Securities, Inc., Research Division: And one last thing, as far as the small cells. We've been hearing a lot about, I guess, multiband small cells. How important do you think it is and how far along are the equipment providers with regard to that? And what type of impact do you think that could have positively or negatively?
W. Benjamin Moreland: I think, certainly, positive. I mean, the opportunity to add additional capacity in the small cell is essentially what we're doing. There's a physical constraint sometimes on each individual pole, so you have to go next pole over if you're on an outside DAS system, just on based on zoning and just the physical limitation. But combining multiband is already happening. And in some cases, that's actually -- when we think of the vernacular of tenant, we try to get keep it simple. The tenants oftentimes in small cells is additional bands, additional slots in the box. And that's additional revenue.
Operator: Our next question comes of the line of Colby Synesael with Cowen and Company.
Colby Synesael - Cowen and Company, LLC, Research Division: Great. I actually just want to talk about interest rates. I think one of the things that we've been hearing from investors, certainly, through the course of this year is the concern that with rising interest rates, it could be negative for the tower providers, particularly as it relates to M&A. And I was wondering if you could just share with us what you've seen as it relates to interest rates with the potential debt insurance that you look at to finance some of your transactions as what's happened with interest rates pushed you to do one type of instrument versus another one, perhaps CMBS? And if you can just give us a little bit of color there to help us get a little bit more comfortable on the ability to contain and pay the multiples that you are paying, and still have these transactions be accretive?
Jay A. Brown: Sure. I think the first point I would make is the comment that I made during the prepared remarks. If you look at the current balance sheet, we've got about 7 years -- almost 7 years remaining on the average term, and the average coupon is about 4.5%. That mix of our current debt is about 70% fixed rate and about 30% floating rate. So over the next 6.5 to 7 years, the exposure that we have to near-term rates is about 30% of our overall mix. We have seen over a long period time, obviously, in the business, those interest rates fluctuate. And the cost of debt fluctuates. And when it does, the cost of -- and our willingness to buy assets can fluctuate as well. Today in the market, we could be an issuer of long-term debt, senior debt at the parent company, somewhere in the neighborhood of 5% to 5.5%, and so the debt is still attractive. And as you pointed out, we've looked at other opportunities where we've gone down at the asset level and limited the amount of leverage that we put down there to achieve an investment-grade credit rating. And have found very attractive fixed rates on debt that we can do for long periods of time. And so it's more than a single-pronged question, it relates both to what's the cost of debt, and then based on that, we can adjust our willingness to buy assets at. And so over time, we think we've got a pretty good structure in terms of flexibility around where we can finance the assets, whether at the asset level or up at the parent level. And to the extent that we pursue acquisitions again, it's relative to our other alternative, which is buying back our own stock. And that's proven to be a very attractive investment over a long period of time.
W. Benjamin Moreland: I think with that we'll wrap it up. And again, I appreciate everybody's attention this morning and joining us on the call. We are very pleased with how the year has started off. And we look forward to visiting with you on the next quarter call. Thank you very much.
Operator: Ladies and gentlemen, this concludes our conference for today. If you'd like to listen to the replay of today's conference you may do so by dialing 1 (800) 406-7325 or (303) 590-3030 and entering the access code of 4611818 followed by the pound sign. Thank you for your participation. You may now disconnect.